Operator: Good day, and welcome to the Trinity Industries Third Quarter Results Conference Call. All participants will be in listen-only mode. [Operator Instructions]. After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions]. Please note, this event is being recorded.  Before we get started, let me remind you that today's conference call contains forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995 and includes statements as to estimates, expectations, intentions and predictions of future financial performance. Statements that are not historical facts are forward-looking. Participants are directed to Trinity's Form 10-K and other SEC filings for a description of certain of the business issues and risks, a change in any of which could cause actual results or outcomes to differ materially from those expressed in the forward-looking statements. I would now like to turn the conference over to Leigh Anne Mann, Vice President of Investor Relations. Please go ahead.
Leigh Anne Mann: Thank you, Eily. Good morning, everyone. We appreciate you joining us for the company's third quarter 2021 financial results conference call. Our prepared remarks will include comments from Jean Savage, Trinity's Chief Executive Officer and President; and Eric Marchetto, the company's Chief Financial Officer. We will hold a Q&A session following the prepared remarks from our leaders. During the call today, we will reference slides highlighting key points of discussion as well as certain non-GAAP financial metrics. The reconciliations of the non-GAAP metrics to comparable GAAP measures are provided in the appendix of our supplemental slides. The supplemental materials are accessible on our IR website at www.trin.net. These slides can be found under the Events and Presentations portion of the website, along with the third quarter earnings conference call of that link.  It is now my pleasure to turn the call over to Jean.
Jean Savage : Thank you, Leigh Anne, and welcome to Trinity. Good morning, everyone. Trinity had another strong quarter on a consolidated basis and continues to make great strides to optimize returns, highlighted by our newly formed joint venture with Wafra and our new $250 million share repurchase plan, both of which Eric and I will talk about later. Overall, we remain very confident in our ability to execute and hit the targets we shared with you at our Investor Day a year ago. Let me summarize some key themes from our third quarter. At the industry level, fundamentals continue to improve broadly but unevenly. While industrial production levels have ebbed and flowed with supply chain disruptions, overall industrial production is approaching pre-pandemic levels and strong North American economic growth is forecasted over the next few years. With these macroeconomic trends, rail carload volumes are rising from last year's lows. At the same time, the population of railcars in stores is just falling with elevated scrapping levels and relatively slower train speeds. From our vantage point, the improving railcar demand recovery will continue into 2022, which is very supportive for fundamentals in both of our rail-focused business lines.  Let's look at the impact of these trends on our consolidated results, highlighted on Slide 4. In the third quarter, Trinity generated revenue of $504 million, up 10% from a year ago. Our GAAP EPS was $0.33 compared to an adjusted EPS of $0.29. We'll detail both businesses in a few minutes, but I think it's important to note the strength of our diversified platform. While our Rail Products Group results may vary from quarter-to-quarter based on our specific orders delivered, Trinity drove solid and consistent cash flow growth in the third quarter. Cash flow from operations totaled $93 million and free cash flow or excess cash after all investments and dividends was $157 million. Eric will go into more detail but the important takeaway here is that our model can drive significant value creation through stable cash flow and a return of capital to shareholders. In summary, we remain pleased with our execution against our returns optimization initiatives and are equally excited to see continued strength in the industry fundamentals that underpin our future results. Let's turn to Slide 5, and we can review the railcar market as a whole. First, rail carloads and traffic continue to improve. The industry carloads are now roughly 6.5% above 2020 year-to-date, and we're moving closer to pre-pandemic levels last seen in 2019. Railcars and storage declined 6% compared to a quarter ago, aided by continued scrapping activity and continued deployment of idle assets in key markets like boxcars, gondolas, hoppers and tank cars. Relative to the modest increase in carload levels, slower train speeds are also helping to drive railcar demand as the average railcar in North America is getting fewer terms. Against that backdrop, Trinity's fundamental key performance indicators are improving as well. Our utilization improved from last quarter to 95% and the future lease rate differential, which we call the FLRD, turned positive and now stands at 1.4% compared to a negative 20.9% just a year ago. Demand for new railcars has been exciting as well. In the quarter, we took orders for 2,530 new railcars, up 27% compared to a year ago. As we noted last quarter, we believe stronger underlying leasing dynamics and higher car pricing should continue to positively impact our results, and new deliveries will likely trend in line with replacement levels in 2022 and 2023. To be clear, the trend may not be linear each quarter as our Rail Products segment results prove. That said, we remain very encouraged by the industry dynamics in place today. On Slide 6, let's turn to Trinity segment results for the quarter. In our Leasing business, revenue improved slightly compared to last quarter based on a combination of fleet growth, higher utilization rates and increased servicer fees. Revenue growth in the quarter was also partially offset by lower average lease rates as we cycle through legacy renewals. To contextualize that impact, it's important to note that the forward indicators for lease rates are positive. Specifically, our renewal rates in the quarter were 7% higher than expiration. And our view on overall lease rate trend remain positive as evidenced by the trend in the FLRD I mentioned earlier. Our margins in Leasing and Management Services were also strong, up 340 basis points compared to a quarter ago. Our Leasing business benefited from higher servicer fees in the quarter, partially offset by fleet operating costs. We also had modestly higher depreciation driven by our successful sustainable conversion program, which I'll detail later in my remarks. Recall from our commentary earlier this year that we expect these expenses required to position the lease fleet for increasing demand will be a headwind to the Leasing segment margin for the year. That said, we believe the headwind in the short term is a good problem to have, given the value being created by rising demand and the resulting long-term returns to Trinity. Now looking at our results in the Rail Products Group. Margin improvement progress year-to-date was offset by labor shortages and turnover as well as supply chain disruptions. Specifically, operating margins in the Rail Products Group for the quarter was a negative 0.9% compared to 1.2% last quarter. The path of the recovery in this segment will likely be less linear given quarter-to-quarter dynamics like delivery mix, supply chain disruption and labor shortages.  That said, we remain confident based on 2 main indicators for the business. The first is, the demand for railcars continues to rise as evidenced by utilization, lease rates and orders in the quarter. The second key indicator is railcar values. While higher input costs like steel can serve as a near-term headwind to our deliveries, we remain very confident that higher cost will drive higher railcar values and ultimately margins as older orders work through our pipeline. Lastly, it's important to note that while this quarter was challenged, Trinity continues to make significant progress on our expense optimization initiatives in the Rail Products Group. I'll move to Slide 7 with an update on returns optimization initiatives. We were busy and made some great progress over the quarter. Beginning with our balance sheet, Trinity and Wafra, an institutional investor, announced a joint venture partnership that targets $1 billion of diversified railcar asset sales over the next 3 years. The joint venture is a significant step in our commitment to optimize Trinity's balance sheet and drive ROE. Trinity also renewed our commitment to return capital to shareholders with a new $250 million share repurchase authorization. In our view, shareholders benefit both from the strong free cash flow that Trinity's portfolio generates and also as we optimize our balance sheet to help drive better returns on equity for the overall enterprise. Touching on our enterprise cost reduction efforts, Trinity disposed of 3 properties in the quarter for a total of $8 million in proceeds and $3 million of gains on asset disposal. In manufacturing, we continue to drive meaningful improvements as our lean initiatives and other cost programs have reduced the breakeven cost of producing a railcar. Turning to our lease fleet optimization. Clearly, the Wafra portfolio sale was a key event, driving $325 million in proceeds. Similar to last quarter, we were also busy on the investment side as we spent $112 million in leasing CapEx to add to and improve our lease fleet during the quarter. Looking at the fourth quarter, we would expect the pace to slow as we onboard and optimize for the actions taken year-to-date. The key takeaway here is that fleet returns have improved both from mix and the accretive reinvestment of sale proceeds. In addition to portfolio transactions, Trinity closed on a small $4 million secondary market acquisition. In the third quarter, our fleet improved as we doubled the volume of sustainable conversions of tank cars, which totaled 242 compared to 119 last quarter. Through the end of the third quarter, we have received orders for over 1,400 sustainable conversions, which include a mix of tank and freight cars, comprised of internal and external orders. These sustainable conversions allow us to pivot our fleet by converting or upgrading existing railcars to better meet the challenging demand of the market and to improve the yield of our fleet. This is an important piece to our fleet optimization effort.  Lastly, to update on our new products and services, we are on pace with a number of initiatives. For Trinsight, we now have reached our 2021 goals for customers paying subscription fees for the service. Additionally, new product development will hit our full goal for 2021. In conclusion, Trinity remains very confident in the 3-year plan we outlined at our day last fall. And we still have a number of ongoing initiatives to continue to enhance returns especially as railcar fundamentals continue to improve into 2022 and beyond. Before I hand the call over to Eric, I'd like to take a moment to discuss our focus on sustainability. Trinity is committed to being a market leader in promoting and enhancing the sustainable environmental benefits of rail transportation. We believe a more sustainable transportation system starts with a shift from highway to rail, as rail reduces emissions to move 1 ton of freight 75% as compared to on-highway and leads to less congestion and less wear on our critical infrastructure. To promote this transition, we prioritize product and service ideas, which enable shippers to improve the efficiency of their supply chains, moving more freight with fewer railcars and fewer carloads. We've discussed a few of our new products that fulfill this forward thinking, more sustainable vision, including our newest train car and Trinsight. Trinity has also put great focus in leveraging existing assets to meet new demand through our sustainable conversion program. This eliminates the need to producing entirely new railcar in certain markets. Earlier this year, we introduced the railcar leasing industry's first green financing framework. And as of quarter end, approximately $4.3 billion of our railcar-related debt meets this designation. At our facilities, we've implemented a number of different programs to reduce emissions, limit water use and recycle waste. In meeting our purpose to deliver goods for the good of all, we strive to reduce our environmental impact and increase our positive impact on people.  With that, let me hand the call over to Eric for more detail on our results.
Eric Marchetto: Thank you, Jean, and good morning, everyone. I will begin on Slide 8 with a summary of the quarter. Overall, as Jean said, Trinity continues to benefit from both the steady improvement in railcar demand and our strategic initiatives. Starting with the income statement, third quarter consolidated revenue totaled $504 million, up nearly 10% compared to a year ago. This was driven by higher external deliveries in our Rail Products Group as well as continued improvement in leasing fundamentals in the highway business. Adjusted earnings per share of $0.29 grew both sequentially from $0.15 and year-over-year from $0.17, driven by a combination of better fundamentals, gains on lease portfolio sales and our share repurchase activity. Our third quarter results were negatively impacted by accelerated depreciation associated with our sustainable railcar conversion program. Our adjusted EPS number excludes a $0.04 benefit from insurance recoveries related to the tornado damage at our Cartersville facility. As discussed, our joint venture portfolio sale positively impacted our third quarter earnings with a gain of $33 million on our $325 million transaction. In this joint venture, Wafra owns 90% of the equity and Trinity owns the remaining 10%. Similar to the improvement in lease fundamentals, our new RIV transaction is another example of the broadening market for leased railcar assets. Looking forward to next quarter, we expect our consolidated fourth quarter margins to be relatively consistent with our third quarter results before the impact of lease portfolio sales. Turning to the cash flow statement. Year-to-date cash flow from operations totaled $428 million. Cash flow from operations in the third quarter was $93 million, which includes the collection of $41 million of our tax receivable. Our remaining tax receivable is $192 million, which is not included in our full year cash flow guidance. Last quarter, we guided to full year cash flow from operations of $600 million to $650 million. Given the higher cost of inventory as well as working capital changes we plan to implement, we are reducing our target. Our revised guidance is a range of $450 million to $475 million. This is intentional as we are focused on strategic sourcing to mitigate inflationary pressures and protect against supply chain constraints as we increase the pace of deliveries. In the quarter, we had a net reduction in investment for leasing of approximately $204 million, consisting of $112 million of lease fleet investments, more than offset by lease portfolio sales. Year-to-date proceeds from lease portfolio sales exceeded the investment in our lease fleet by $41 million. Trinity's net lease fleet investment for the full year is now expected to be between $40 million and $70 million as we continue to make disciplined investments at attractive returns that support our lease optimization initiative. Manufacturing CapEx for the quarter was $4 million, which brings our year-to-date manufacturing CapEx to $22 million. Our manufacturing CapEx for the full year is now projected to be between $30 million and $40 million. Total free cash flow after investments and dividends was $157 million in the third quarter, which brings year-to-date total to $516 million. As Jean noted, the strength of our platform continues to drive these cash flows and allows Trinity to drive value to shareholders through the return of capital. Year-to-date, Trinity has returned nearly $0.5 billion to shareholders, with $69 million in dividends and $405 million in share repurchases, which represents approximately 17% of our market capitalization. If we turn to Slide 9, let's review our capitalization. Trinity continues to have a very strong financial position, highlighted by quarter end liquidity of $1.1 billion even after the return of capital I just discussed. This liquidity provides flexibility as we plan to generate additional shareholder value through disciplined returns-focused capital allocation. Our strategy to drive returns over asset growth remains unchanged. While we expect to make investments in our lease fleet for growth, especially in markets where we can meet increasing demand and we remain committed to the return of capital. As you can see from our actions to date, our strong cash flow affords us the ability to do both. This quarter, we completed our previous $250 million share repurchase program and launched a new $250 million authorization that runs through 2022. We continue to optimize our balance sheet and improve our return on equity, which is a key focus of our long-term strategy. In closing, we are progressing well against our strategic plan. We are proud that Trinity continues to execute against our goals. While Trinity is not immune to the challenges of the current operating environment, our financial position showcases the resilience of our platform and the ability to deliver returns through the cycle. As the market recovers, we will demonstrate the power of our platform to generate attractive risk-adjusted returns.  Eily, you may now take us to questions from our participants.
Operator: [Operator Instructions]. Our first question today comes from Matt Elkott with Cowen.
Matt Elkott: Jean, Eric, Canadian National said that the one thing that they're most enthusiastic about is the green energy carloads related to Alberta's growth in the hydrogen energy projects. They said that the potential is the peak of the crude by rail, but only much more sustainable. Is that something that presents an opportunity for you guys?
Jean Savage : Yes, Matt, thank you for the question. And we have looked at hydrogen and continue to look at the different types of fuels that may be able to be transferred by rail. It's on the radar. We're doing some development on that, and we'll continue and hope that overall, that the government approves the movement by rail for the hydrogen.
Matt Elkott: Okay. And if such an approval is granted, how much lead time should we expect before you guys have an appropriate car for that?
Jean Savage : It would really depend on -- we have a design that would fit fairly well. So it would come down to the testing that would be required by the different governments or countries to put that on rail.
Matt Elkott: Got it. And just one more question on the guardrail business. Is the improvement in anticipation of the infrastructure bill? And can you just talk broadly about how exposed to infrastructure bill this business is? And maybe address some of the remaining small litigation risk on the state level.
Jean Savage : Sure. I'll start out with saying that the highway business team did a great job. They had the best third quarter ever in the history of our highway business this past quarter. The business is improving because of the input cost a lot so that is -- we're able to pass that on, along with the freight cost. So you see that in the revenue. When you're looking at the infrastructure bill, will it have an impact? Yes, but it's most likely at least 6 months to 12 months out. The bill has to be passed. They have to get the programs or the construction approved, and then they normally buy the guardrail portion later in the cycle, so closer to when they're ready to start that construction. So that would happen. On litigation, you've seen smaller changes in our releases on what's going on there. We are seeing less new litigation come in. It's been dropping over the last few years, and we expect that trend to continue. And I think, Matt, did I give everything you were asking? Or did you have a follow-up?
Matt Elkott: I believe, so I know it was a 3-part question, but I would imagine on the demand front related to the infrastructure bill, even if there's a 6- to 12-month lag before the -- it's reflected in the business, I would imagine that the confidence will increase immediately after the passage of the bill, and that could lead to some, at least, inquiry activity. Is that reasonable?
Jean Savage : I think it is. I think people may prestart some projects or they may go ahead with some, but we'll have to wait and see when it gets passed and what confidence it puts out there.
Matt Elkott: Okay. And when you guys spun off Arcosa a few years ago, you understandably kept the guardrail business as the only non-railcar business because of the litigation at the time, which is largely out of the way now. Would you be open to divesting this business for the right valuation, especially that now it's an infrastructure play and might be in high demand?
Jean Savage : Well, Matt, I have said in the past that we believe the long-term best owner for that business would not be Trinity as we focus more on the rail industry. But we would have to get into the right dynamics, the right situation for us to be able to sell that. So it is on the table, and we have talked about that prior.
Operator: Our next question comes from Allison Poliniak with Wells Fargo.
Allison Poliniak: Just want to turn to the input cost inflation that you kind of called out for manufacturing. I guess, one, is it steel or is it actually the components that you're seeing the most inflation? And I guess, you had mentioned some older contracts. Is there a way to think about how that evolves where some of these input inflation start to get rolled into the contracts going forward in terms of deliveries. Any color there?
Eric Marchetto - CFO: Yes, Allison, this is Eric. I would just say in the quarter, it was more probably steel and surcharge related than specialty components. But you also had things like industrial gases being interrupted, both oxygen, nitrogen. So those -- all those things as those gases switch to -- were diverted to hospital usage because of COVID. So that certainly had an impact. I think on the specialty side, there's probably some pressure down the road on specialty components, so you have that. In terms of the backlog and how it works through, as Jean said in her comments, it's probably less than -- it's not going to be just linear. There'll be -- as we work through some of the older contracts, whether they're fixed price or escalatable, they were taken in times when the demand environment was not as good as it is now. And so you'll have that coming through over the next quarter or 2.
Allison Poliniak: Got it. And then just a bigger question. Jean, you had mentioned your comfort with deliveries sort of reaching that replacement level. One pushback we're getting quite a bit is, obviously, rails aren't operating as efficiently as they would hope, just given some of the network challenges that were just, to some extent -- not throwing capacity at the situation, but some of these cars could actually reverse or some of that demand. Any color there in terms of how you're thinking about that? Or is it just really comfort with that replacement level kind of moving forward with limited impact from some stuff kind of returning to storage here?
Jean Savage : Sure, Allison. So when you look at the number of cars getting scrapped per year, remember, we have scrapped around 50,000 in the last 2 years. We're on pace to do that and maybe a little bit more this year. And the car types that are getting scrapped, many of those have high demand right now. So they're going to need those replacement cars if it's box cars or grain cars or others. So our confidence and what we laid out there for demand for the industry for the next couple of years of 40, 000 to 50,000 is really based off replacing the cars that are being scrapped right now. So it's not a large increase overall in demand.
Operator: Our next question comes from Gordon Johnson with GLJ Research.
James Bardowski: This is James Bardowski in for Gordon. So I guess the first one is it relates to the new JV. Was that for about 2,000 railcars, give or take?
Eric Marchetto: No, it's 3,600 railcars -- it's about 3,600 railcars. And there's more -- there'll be more detail, obviously, in our Q. There is also an 8-K that we filed in August that has a lot of those details as well. It was about 3,600 railcars and the proceeds were $325 million. And I'll just go ahead and talk about it a little bit is that joint venture, we think, really demonstrates our platform. It solves a lot of the initiatives that it's something that we're doing in line with all the initiatives that we have in terms of optimizing our lease fleet and our balance sheet.
James Bardowski: Right. Okay. That's helpful. Clearly, that affects your utilization rate as well as your loan-to-value ratio. Is that fair to say? And secondly, without that sale, what would the utilization rate had been?
Eric Marchetto: Okay. So it would slightly impact utilization rate by making it a little bit lower. The railcars that we sold, those 3,600 railcars were all utilized so it does reduce the -- you're selling a 3% of the portfolio at a 100%, that does make it a little bit lower. But I don't have the -- I haven't done the math to tell you what it is off hand, but I think you can do that math. In terms of the loan-to-value, certainly, the proceeds of $325 million, some of those railcars were unencumbered. Some of those came out of some of our debt facilities. And so there's a lot of ins and outs. At the end of the day, our leverage for our wholly owned fleet went up slightly in the quarter. It's about 63%.
James Bardowski: Yes. So that is within your earlier range that you previously guided. Is there any change in terms of your strategy right now in terms of capital allocation?
Eric Marchetto: Sure, James. Yes, you're right. We put -- the target we put out was 60% to 65%, and we are now kind of in the midpoint of that range. That range is still our near and midterm range. We haven't made any change, but we still certainly have flexibility to change that. But right now, that is still our range.
James Bardowski: Okay. Great. And then just a couple more. I'll try to speak through them. But you mentioned that you were going to focus on accelerating deliveries. Can you just let us know how much your backlog you anticipate shipping this year?
Jean Savage : So I think we talked about getting cars ready for delivery. So they could go in, in the market quicker. But market activity remains strong. And for the year, I don't know that we came out with what percentage.
Eric Marchetto: It's in the Q in terms of how much of our backlog is delivering this -- rating this year. It's about 32%, 31. 8% is what will be in the Q for what the percentage of our delivery that we'll deliver in 2021. That's of our new rail delivery in dollars.
James Bardowski: And this -- I'll cut it off here as a final question since it is a very loaded question. I do apologize for that. But given the rising costs that we are seeing, is there any way you could decipher how much of the upward pressure you're seeing in lease rates today is a factor of improving conditions versus simply the lessors passing on higher costs?
Jean Savage : So when you're looking at the rate changes that we're seeing, a lot of that has to do with supply and demand. In the markets where you have fewer cars available, we're absolutely seeing the rate increase. I mentioned that we had a 7% in the quarter increase on the renewal rate versus the expiring rate and that our forward-looking FLRD was positive. So that means looking at the cars that will be coming off of lease or expiring, we're expecting to see an increase overall in those rates. So it's still a positive trend for us.
Operator: Our next question comes from George Sellers with Stephens Inc.
George Sellers: So I guess my first question, you talked about railcar valuations increasing. And I'm just curious, so I know pricing varies by car type, but could you talk about the percentage increase you've generally seen in new railcars? And then how much of that is a function of higher commodity prices versus more just core pricing trends?
Eric Marchetto: So George, obviously, mix and car types matter and the amount of steel matters. We've talked on -- when you have some of the input costs that have doubled and tripled over the -- really, from a pre-pandemic level, that has translated into core prices being anywhere from 20% to 30% higher. And how much of that is steel and input costs, a lot of it is steel and input cost. And it depends on if there is a margin component to it, it probably depends on where you're starting from. So margins have improved over the last couple of quarters. But I would say much more of the increase is related to just the inflationary pressures on new railcars. And that just ties into -- as an owner of 105,000 existing railcars, those 105,000 railcars benefit greatly from the higher input costs on the 2,000, 2,500 cars that we delivered this quarter. And so that's really where we get into -- where we see railcar valuations get impacted as those new railcar prices give the existing railcars more room to run in terms of both in terms of lease rates and in terms of valuations from a depreciated replacement value level. So that's really where we get excited about the future with the lease fleet.
George Sellers: Okay. That's helpful. And then you talked about the backlog, but could you say how much of the current backlog is going to be delivered to the lease fleet in the fourth quarter?
Eric Marchetto: I did not get into that, but I got to look at the Q. I may have to -- give me a minute, I'll come back and find that one. 34% of our deliveries are related to the leasing company in the fourth quarter.
Jean Savage : Remember, in the past, we've told you that typically, the railroads and the third-party lessors will come in and buy new cars first, that's still occurring right now. We're getting some secondary market or in-shippers buying. But the majority are still railroads first and then third-party lessors.
Operator: Our next question comes from Bascome Majors with Susquehanna.
Bascome Majors: In the spring and even in the summer, you had talked about how you were really well positioned on manufacturing labor, being an employer of choice in East Texas and the regions you're in, in Mexico. It does seem like that has become more challenging. Can you unpack to us kind of what changed in the last 3 months? And maybe give us a little bit of visibility into regionally or functionally where you're having the most challenge with labor and how feel that's trending as we get deeper into the fourth quarter?
Jean Savage : Sure, Bas. This is Jean. I'll take that. So we were very fortunate during the beginning of the pandemic not to have the supply chain and labor issues. And as we've gotten further in, it was just this past quarter that we started to see some things. Some of it, we think, is transitory and that's going to be some of the gases that Eric already talked about, where there was a short-term disruption in supply. And then we had some valves.  As far as the labor, in Mexico, it's still very strong, very low turnover, very low shortages. But in the U.S., just like I think every other company who has labor, is experiencing some of the higher turnover as people are leaving for other jobs or even retiring and taking themselves out of the marketplace. So that came in, again, more the third quarter for us. And it's something that we'll continue to work on, like everyone else, making sure that we're positioning ourselves in the best place to respond to the needs of the market.
Bascome Majors: Have your pain points in the U.S. started to stabilize? Do they feel like they're getting worse? Just curious where that stands versus the surprise you started to feel in the quarter.
Jean Savage : So the beginning of the quarter, it was a little less. It went up and it's pretty much stabilized from there. So it's, again, just getting now the resources in place to be able to make sure we continue to meet all the demand.
Bascome Majors: And you gave your future lease rate differential, and it was encouraging to see that inflect positively for, I think, the first time since you've been reporting that metric. Can you give a sense of what that feels like on the ground? Is there -- I mean are we approaching a point where this price escalation in new cars, which you talked about on a previous question, is creating that faster inflection that you tend to see in upcycles where lease rates can move very quickly? I'm just -- are we there yet? Are we getting there? Is that in your sight? Just any thoughts on the supply-demand dynamic and tied into lease -- sorry, new car price inflation and what that means for lease rates into next year?
Jean Savage : I'll start on that and then turn it over to Eric. Now remember that our fleet does expire at different times. So about 17% to 20% of the fleet expires each year. So when you're looking at the change of that lease rate, it is over many years to work through all of them. We mentioned the 7% increase on renewal rates versus expiring for the quarter, but the overall average lease rate for the quarter still had some headwinds. So it's still down a little bit. So I think it will take time to work all the way through, but we are encouraged. We've seen the renewals go up. And in the markets where the supply-demand metric is more towards needing more supply, you'll see that move quicker than some of the other areas. I don't know, Eric, would add?
Eric Marchetto: Yes, Bascome, I would just add to Jean's comments that it does change car type by car type, but in absolute terms, newer railcar prices which lead to higher new car lease rates will cause existing car rates to allow existing car rates to come up as you price them. But then also, we've seen steady for 15 months railcars coming out of the storage, it is that metric. So the fleet continues to get tighter, both from attrition and from increased railcar loadings. So both those things increase railcar loadings or needing more railcars to move the same freight. So all of those factors are tailwinds to demand for existing assets and new assets and should lead to opportunities to improve pricing. I think that's one of the benefits of our platform is as a large manufacturer, as a large lease company with our maintenance operations, we see the market and we generally are able to see these points of inflection quickly and respond accordingly.
Bascome Majors: And maybe to just put a period on that discussion, and I apologize if you mentioned this in prepared remarks, I was hopping calls, but the -- is there a way to think about -- I mean, I know spot is not the right word, but kind of an incremental current renewal rate and how that's trending quarter-over-quarter or month-over-month. Just any sense of the sequential improvement you're seeing, with the caveat that we understand that the renewals happen slowly and the overall average lease rate of the portfolio takes a while to move.
Jean Savage : Sure, Bas. I mean the market activity has absolutely been increasing. And so sequentially increasing, very, very strong for us as far as renewal rates or assignment rates that go into that. And then we are still seeing a lot of activities for quotes for new cars. And we see orders continuing to come through on that.
Operator: Our final question today comes from Steve Barger with KeyBanc Capital Markets.
Steve Barger: Can you quantify the labor and supply chain issues in the Rail Group? I'm just trying to get a sense for how much of the operating loss was that versus volume and mix?
Jean Savage : All 3 of them play a role in the results that we had going through. So when you're looking at supply chain, the inefficiencies that come in from not having gases to be able to do the work you need to do or another example of the valve that you need to put on play into the fact that you can't get the work done on the time that you wanted to. Then you also have the fact that you either have turnover or labor shortages to be able to do that work. So when you put all those together, it absolutely has an impact. We've not gone through to say, is that 25%, 30%? But when you combine all of them, I think you're going to hear most industries or industrials talking about that impact for the quarter.
Eric Marchetto: And Steve, just we've talked in the previous call about this -- our order book being more freight car centric. And so that's there, but I wouldn't call that out as a change from, say, the second quarter to the third quarter in terms of mix. It's -- the reason why we're calling out the labor and the supply chain because those are the biggest drivers.
Steve Barger: Got you. And Eric, I just want to make sure I understand your comment on what 4Q could look like. If you don't sell more cars into the JV, then plus or minus 4Q, it seems like it's going to look more like 1Q given the loss in the Rail Group. And I think most of your EPS came from the gain on sale this quarter, right?
Eric Marchetto: So my comments in the fourth quarter were around margins before you take the impact of car sales. It was on margin percentages. So when you just take the revenue that we said the margin percentages would look similar when you exclude that. So I think that's a good way to think about it from those numbers.  In terms of car sales, I wouldn't -- we did $325 million of car sales to Wafra this -- in the third quarter. As we talk about, that's more of a programmatic over the next 3 years. I wouldn't expect those large -- we don't -- we're not planning the Wafra transaction in the fourth quarter.
Steve Barger: Okay. How about the first part of next year? Is it…
Eric Marchetto: It's a 3-year deal with $1 billion. So you think about it ratably over that time.
Steve Barger: Got it. And so if 4Q looks like 3Q for the Rail Group, then the Rail Group is not going to contribute to operating income this year. Do you think 4Q will be trough for Rail Group margins? Or given recent ASPs for new orders, should we be tempering our expectations for the OEM business for the first part of '22?
Jean Savage : Remember, I said it won't be a linear trajectory for the Rail Products Group. So it's really going to depend on the mix and the volume that are going through that. I would expect to see improvement. I'm just saying it may not be linear. And so we do have a lot of the optimization initiatives and lean initiatives that are still going on that occur through the full 3-year period that we laid out in Investor Day. And as each of those complete, you'll see different types of improvements flow through our results.
Steve Barger: But is it fair to say that given the ASPs that you've taken over the last couple of quarters and the volumes that you expect, that margins are not going to rebound sharply in the first half of '22?
Eric Marchetto: I think the ASPs really reflect more of the mix than the margins. I wouldn't read too much into the ASP from a margin profile standpoint. That's more about the mix. As I think I talked about, the margins on new railcars that we're taking are improving because it's a better demand environment than what we did back, say, during the height of the pandemic. And so from that standpoint, as backlog stabilize, as backlog start to extend, then generally on the manufacturing side, you start to see margins expand as well. With all of the supply chain disruptions and labor, et cetera, we're just being cautious about getting ahead of ourselves in terms of expectations because there's a lot of noise in the results. And so -- but generally speaking, the demand profile is improving, which leads to the pricing environment improvement.
Steve Barger: Okay. And last 1 for me. Can you just talk a little more about the sustainable railcar conversion program? How are you converting them to make them more sustainable?
Jean Savage : So as the markets change, we look and see that maybe you have a car type you could put into a different market and have better utilization and higher yield. So we can do some modification work to that, be it rethinking, putting in a different hopper on, things like that to go ahead and reposition that car and improve our overall utilization and improved yield.
Steve Barger: Are you doing that on a speculative basis or in response to a customer saying, "I want a new railcar. I don't want to pay the full railcar price.” And you finding a creative way to say, “Well, I can do some work to this car and maybe make it suitable for your purposes?”
Jean Savage : Great question. And we continue to say that we want to utilize existing railcars first, our existing assets, and that's what we're doing here. Instead of building a new car and having the older assets sitting there, maybe not as utilized, we're making the choice to when it makes sense financially and from a return standpoint to convert that car and put it to use in a market that may have either a longer run or a higher need at the time.
Steve Barger: But you're doing that proactively or in response to customer requests?
Jean Savage : It's in response to customer requests. We're not doing anything like that proactively. We either have orders from external customers or we have orders that we need to fill from our lease fleet.
Steve Barger: And just last one, how many cars in your fleet or in the total fleet do you think lend themselves to conversion?
Eric Marchetto: Steve, I mean that's going to be in the eye of the owner. And each fleet owner is going to have different things. When you think about some of the other -- some of the car types that were recently -- have been softer where you have slower or lower utilization, when you think of the small cube covered hoppers where that fleet got ahead of itself as demand changed, as carloadings changed. So those are relatively young assets, and so those fit. Each owner is going to make a decision. We've made -- and the same goes on tank cars where you've had tank cars -- some of the sustainable conversions are things that you can do, think retank, tank cars, et cetera, so all of those have an impact. And it depends on the underlying age of the railcar.
Jean Savage : And it goes to the strength of our platform again. We have the capability of doing those conversions in our own maintenance shops. So it does help meet the demand for the customers and provide us a more sustainable product overall.
Operator: This concludes our question-and-answer session. I'd like to turn the call back over to Leigh Anne Mann for some closing remarks.
Leigh Anne Mann: Thank you, Eily. A replay of today's call will be available after 10:30 a.m. Eastern Time through midnight on October 28, 2021. The replay number is (877) 344-7529 with an access code of 10152033. A replay of the webcast will also be available under the Events and Presentations page on our Investor Relations website located at www.trin.net. We look forward to visiting with you again on our next conference call. Thank you for joining us this morning.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.